Operator: Good morning, my name is Terry and I will be your conference operator today. At this time, I would like to welcome everyone to the fiscal 2010 third quarter earnings conference call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. (Operator Instruction) Thank you. Mr. Joe Bennett, you may begin your conference.
Joe Bennett: Thank you, Terry. Good morning, everyone. And welcome to Tidewater's fiscal 2010 third quarter earnings results conference call for the period ended December 31, 2009. I'm Joe Bennett, Tidewater's, Executive Vice President and Chief Investor Relations Officer. With me this morning on our call are our Chairman, President and CEO, Dean Taylor; Quinn Fanning, Executive Vice President and CFO; Steve Dick, Executive Vice President in charge of Strategic Relationships, shipyard operations, vessel acquisitions and dispositions; Jeff Platt, Executive Vice President in charge of day-to-day Marine operations and Bruce Lundstrom, Executive Vice President and General Counsel and Secretary. As a company steeped in the heritage of New Orleans, we're all excited about the prospect of our saints playing in this weekend's super bowl even if we're playing against a team led by the son of one of our Saints’ icons. We view the Saints' seasons; however, much like our industry cycle. Things were going along just fine until that final three-game losing streak. Some outsiders began questioning the Saints' capabilities, we knew their fundamental strengths would prevail. The Saints are on the upswing and we certainly hope that Tidewater and the offshore service sector will be following them late this year or sometime next year. In a minute, I'll turn the call over to Dean for his initial comments to be followed by Quinn's review of the financial details for the quarter. Dean will then provide some wrap-up comments before we open the call for questions. First, let me say that during today's conference call, Dean, Quinn, I and other Tidewater management may make certain comments that are forward-looking statements and not statements of historical fact. I know that you understand that there are risks, uncertainties and other factors that may cause the company's actual future performance to be materially different from that stated or implied by any comment that we may make during today's conference call. Additional information concerning the factors that could cause the actual results to differ materially from those stated or implied by the forward-looking statements may be found in the risk factors section of Tidewater's most recent form 10k. With that, I'll turn the call over to Dean.
Dean Taylor: Thank you, Joe. Good morning, everyone. Earlier today, we reported fully diluted earnings per share of $1.16 for the quarter. This compares to $2.28 per share reported for the same quarter a year ago, which was a record-setting quarter in the company's 50-plus year history. This quarter's results were slightly less than our September quarter when we earned $1.30 per share, adjusted to exclude both the $0.66 per share and earnings coming from the favorable resolution of tax litigation from that quarter and a couple of smaller other items. But the results are consistent with where we and our peers are in the industry cycle. This quarter does mark the first time in a while where we haven't had to explain some extraordinary event that distorted our reported results. One constant for our company, Tidewater, is our focus on safety. I'm pleased to report that we had another outstanding safety performance in the quarter. We have now gone almost 18 months or approximately 57 million man hours without a lost time accident touchwood. Equally significant is that we continue to perform better than our internal goal with respect to our total recordable incident rate with 0.13 rate for 200,000 man hours through the first nine months of this fiscal year. I want to commend our employees for continued job well done. At the same time, I want to remind them and you that we may be only a moment of inattention away from a serious accident thus our emphasis on what we do. Safety is a top priority here at Tidewater, not just because we want all our employees and customers to be working in a safe environment, but because in addition to the primary reasons noted, it's good business and pays off on the bottom line. I think most of you share our opinion that we are on the bottoming phase of our sectors business cycle. That said, we feel like we are performing as we should and in accordance with our expectations. We have continued to strengthen our balance sheet and as an EVA company, we remain focused on actively managing our investment and working and disposing of tired, older equipment, proceeds from which can be invested in new equipment. We have controlled our costs but we are always on the lookout for areas of additional potential cost savings. We also have capitalized on our diverse fleet by stacking vessels with limited prospects for work and current markets while returning others to service where we see profitable opportunities. With regard to our fleet, we continue to reap the rewards of our 2.5 (inaudible) investment in new vessels during the past 10 years. The earnings contribution from our new vessels not only represented the preponderance of our vessel operating earnings in the quarter but it was the highest proportion ever as Quinn will detail for you. The company's new build program added seven additional new vessels to our fleet during the December quarter and as we've discussed in prior conference calls, Tidewater's strong balance sheet and solid liquidity have positioned us to capitalize on opportunities to acquire equipment from other less well capitalized vessel owners. In fact, during the December quarter, we purchased one new vessel and committed to the purchase of three additional vessels. All of which were acquired, will be acquired in January or February of this year. We remain ready to take advantage of additional opportunities such as these to build Tidewater's asset base and enhance our growth profile. Let me now turn the call over to Quinn to detail the financial results. Quinn?
Quinn Fanning: Thank you, Dean. Good morning, everyone. Fist, I'll call your attention to our earnings press release which we put out this morning prior to the market's opening. Note also that we expect to file our 10-Q for the third quarter fiscal 2010 through the EDGAR filing service some time before the close of business today. Turning now to financial results as of and for the three-month period ended December 31st, I will follow my customary pattern providing a recap of the quarter just completed, offering a few perspectives on what's driving financial results and then providing our near-to-intermediate term outlook. As usual, I'll conclude my remarks with review of capital commitments and available liquidity. As Dean noted in his introductory remarks, we reported diluted earnings per common share of a $0.16 for the December quarter versus diluted earnings per common share of a $1.90 for the September quarter and diluted earnings per common share of for the December quarter of fiscal 2009 which has been noted earlier was the company’s all-time record. We had a couple of small unusual items in December 2009 quarter but those items were largely offsetting. And in general, the quarter played out generally within the band of guidance that was provided in October. To assist your period-to-period comparisons, I'll highlight the following items. In regards to adjusted quarter, we had a bit less than a million dollars or $0.01 per share after tax one-time operating expenses. Similar to a charge taken in the June quarter, these costs related to the temporary importation process in Angola. We also took a $1.7 million or $0.02 cent per share after-tax impairment charge on three stack vessels. This non-cash charge is included in gains on asset dispositions met. Finally, we had a 1.5 to 2 million or $0.02 cent per share after-tax benefit and insurance costs primarily due to the favorable development of ultimate loss estimates. In the September quarter, I remind you, that we recognized the 34.3 million or $0.66 per share tax benefit related to favorable resolution of tax litigation. We also recorded charge in a September quarter of $500,000 or $0.01 per share after-tax to write off the book value of four vessels seized by an affiliate of PDVSA in July 2009. Finally, in the September 2009 quarter, we recognized a $3.6 million settlement loss or $0.05 cents per share after tax and was offered to participants in our supplemental retirement plan. As discussed in October, that amount was included in G&A expense. Now, a number of items broken up (inaudible) in the December of 2008 quarter but the only “unusual” item that bears repeating was 2.5 to 3 million or approximately $0.04 cents per share after-tax benefit, the insurance cost line. This was similar to the benefit that was recognized in the current quarter. Finally, I usually normalize results for higher lower than average gains and assets dispositions which I've averaged $5.6 million for the last 11 quarters. All those guess games on vessel dispositions for the December quarter, somewhat later in my remarks. So adjusting for the items just referenced, diluted earnings per common share for the just completed December quarter would have been $1.16 versus $1.30 for the September quarter and $2.24 for The December quarter of fiscal 2009. Applying an adjusted quarter- over-quarter decrease about 11% and adjusted year-over-year decrease of plus 40%. Annualized after-tax return on unleveraged capital for the December quarter was about 9%. Overall, vessel revenues were down 6.8% quarter over quarter and 21.4% year-over-year. Consistent with our report last quarter, the revenue trend in part reflects deepwater [ph] vessels as we continue to stack and dispose of our older tonnage given the current market environment. For quarter-over-quarter comparisons, in particular note that in the December quarter, we tacked 15 previously active vessels and reactivated three previously stacked vessels. Also accounting for nine dispositions of previously stacked vessels, the stacked fleet was 73 vessels as of December 31. For year-over-year comparisons, note that over the last four quarters , we have stacked 66 previously active vessels and we have reactivated four previously stacked vessels. The year-over-year comparisons would need to also count the seizure of our business in Venezuela. In addition to fewer active vessels, the December quarter's results also reflect lower average day rates and lower utilization in the active fleet. This has particularly been the case for our still active holder of our traditional vessels which until the December quarter have performed consistently in terms of rate utilization. Offsetting and otherwise negative revenue trend for the quarter, lost revenue due to pure number of dry dock days was down quarter over quarter and the contribution from recently delivered vessels moved up quite nicely quarter over quarter. Through the number of moving pieces here, I'll try to give you all a very rough bridge to at least get from the September's quarter's revenues to about $295 million to the December quarter's revenue about $275 million. First, in regards to new deliveries, we added seven vessels of fleet in the December quarter including in the completion of six construction projects and the closing of one vessel acquisition. December quarter revenue from the seven vessels was less than $200,000. Parenthetically, I'll note that OpEx was about $2 million for the December quarter i.e. the vessel operating margin was negative here. Net revenue in vessel operating margins for these vessels in the March quarter is estimated about $7 million and about $3.5 million respectively. The nine vessels added to the fleet in the September quarter, however, added incremental revenue to the December quarter of about $10 million. And by the way, about $6 million of incremental operating margin. Those nine vessels were all constructed as opposed to purchase by Tidewater. Second, the better quarter, in terms of dry docks contributed about $6 million in revenue to the December quarter. Third, the quarter-over-quarter loss in revenue from stack vessels was about $7.5 million. And finally, excluding the effects of foreign exchange and deferred revenue, the remaining approximate $25 million negative quarter over quarter variance in revenue knew reflects roughly eight points of lower utilization and active traditional vessels i.e. the older vessels and lower average day rates on the new and traditional vessels of about $400 a day and about $700 a day respectively. That's about a 2.5% and an 8.5% quarter-over-quarter duration and average day rates for the new and traditional vessels respectively. The effect of lower utilization accounts for 55% of the total revenue variance quarter over quarter and the effective lower day rates accounts for about 45% of lower revenue -- of the total revenue variance quarter over quarter. Vessel operating costs were about $148 million for the quarter and came in below our guidance in October of $155 million plus or minus 2%. Vessel level cash operating margin for the quarter was 46% which was at the low end of our October guidance. In terms of details on OpEx other than positive trend in insurance cost which I previously referenced, R&M expense was down about $7 million quarter over quarter which was consistent with our expectations for the quarter. A weaker U.S. dollar contributed about $3.9 million to the quarter's vessel OpEx and masked even more significant reduction in OpEx quarter over quarter. As there is a largely offsetting revenue impact with FX, the impact on vessel operating margin of foreign currency movements relative to the U.S. dollar was immaterial for the quarter. We again had a good quarter in terms of vessel sales and recognized $6.9 million and gains on asset dispositions in the December quarter, which is a bit better than the quarterly average over the last 11 quarters of $5.6 million. Offsetting gains on dispositions was the previously referenced $1.7 million impairment charge taken on three vessels that were included in the stacked fleet at 1231. So based on our guidance in October, you should have expected $280 to $285 million in vessel revenue and vessel level cash operating margin of $128 to $132 million. Actual results were about $275 million in vessel revenue and about $126 million in vessel level cash operating margin, somewhat highlighting that the negative variance relative to guidance related more to a short fall in revenue than it did to higher than expected operating cost. G&A expense was very much consistent with our guidance in October. As we discussed last quarter, we had been recently successful in controlling operating expenses and in maintaining reasonably strong operating margins especially compared to prior cycle troughs. This should bode well for earnings momentum when the cycle eventually turns. To give you a sense for where we are with our fleet renewal program at December 31 to a 163 new vessels in the Tidewater fleet. For the quarter just completed, the new fleet that just -- about 42% of the total average fleet count generated almost – excuse me -- 81% of our vessel level cash operating margins of $126 million. Significant margin contributions from renewed vessels proves just how important our new build and acquisition program, which was initiated in the year 2000 to the company. As of December 31, we are committed to the construction of 33 vessels including one MPSV, 17 PSV's and 13 anchor handling towing support vessels. 17 of these vessels qualified as deepwater vessels. Also during the quarter, we committed to acquire three HTs [ph] vessels. We closed on two of the three purchase vessels in January and expect to close on the third vessel within the next couple of days. In total, Tidewater's taken delivery of 31 vessels in the last four quarters. Ten vessels in the fourth fiscal quarter of 2009, five vessels in the first fiscal quarter of 2010, nine vessels in the second fiscal quarter and seven vessels in the third fiscal quarter. Of the seven vessels delivered in the -- excuse me -- of the seven vessels delivered in the December quarter, four vessels have term contracts of one year or longer. Two vessels have contracts shorter than one year and one is presently without a term contract. We expect to take delivery of another nine new ships in the March quarter including the three purchased vessels that I just referenced. As an additional color, four of the nine vessels to be delivered in our fourth fiscal are scheduled to be delivered in the last three weeks of March. Our view of the longer-term industry fundamentals remains positive and our financial position remains quite strong. As Dean has frequently noted, our hope and expectation that additional opportunities enhance our fleet and earnings power will be presented to us in the coming quarters. If it's the right equipment and at the right price, we generally think that it's the right time to step up our investment activities. Looking at the more specifics in terms of result by segment and asset class, international vessel revenue is off about 6% quarter over quarter and was off about 18% year over year. Average international vessel count was static quarter over quarter at 340 vessels. Average vessel count for international Deepwater class was up four vessels to 43 vessels. Utilization at 78.4% was down about 70 basis points quarter over quarter. International deepwater day rates at about $25,000 a day were basically flat quarter over quarter. Quarterly, current large review of fleets per delivery of 40 pure vessels from the September quarter and a delivery of one deepwater vessel in the December quarter. Turn utilization for international Deepwater fleet is actually up a bit from the December's quarter averages. Average day rates at about $24,600 a day are down about 2% from the December quarter's averages. For the core international towing supply and supply fleet, average vessel count was down two vessels to 206 vessels. Utilization at 64.1% was down about 7 percentage points and average day rates at about $12,300 a day were off about 1.5% quarter over quarter. Four new vessels were added to this class in the September quarter and two new vessels were added to this class in December quarter. Current international towing supply and supply utilization is up at additional four percentage points relative to the December quarter averages. Current average day rates are now below $12,000 a day. As I mentioned on our call in October, the development over the next cull of quarters of Deepwater and International towing supply and supply markets is collectively accounted for nearly 90% of vessel revenue in the December quarter that largely drive our financial results. Looking at the smaller U.S. segments, domestic vessel revenue is off about 12% quarter over quarter and was off about 46% year-over-year. Average U.S. vessel count was down two vessels quarter over quarter to 38 vessels. U.S. deepwater utilization at 83.7% was up seven percentage points quarter over quarter. Average day rates at about $26,700 a day were down about 10% quarter over quarter. Current utilization in day rates for the U.S. Deepwater are down a bit relative to December quarter’s averages. The quarter-over-quarter trend for U.S. deepwater primarily reflects dockings in phase with September quarter and a bit of volatility created by one domestic deepwater vessel that has been working at the spot market albeit at pretty attractive rate. I also note that we added one deepwater PSV in the U.S. market at the end of December. That does puts us now on a one-year contract at a pretty attractive day rate, given market conditions. For the U.S. towing supply and supply fleet, average vessel count was down one vessel quarter over quarter to 25 vessels. Utilization at 35.8% was up about 3.5 percentage points quarter over quarter. Average day rates, however, at about $8,400 per day are off 12.5% quarter over quarter. The offsetting effects resulted in about $5.5 million drop in revenue for this class quarter over quarter. Relative to the December quarter’s averages, current utilization and day rates for U.S. towing supply and supply are pretty flat. Now turning to guidance, our March quarter, that's our fourth fiscal quarter should look reasonably similar to December quarter in regards to operating cost and cash operating margins. Operating costs for the March quarter should be about $147 million plus or minus 2% reflecting additional OpEx associated with nine expected new vessel deliveries along with incremental OpEx associated with the seven vessel deliveries from the December quarter. These additional costs would be somewhat offset by another relatively light quarter in terms of R&M expense. While we stacked up few additional vessels in the southeast Asia region in early January, our expectation remains the stacking activity will moderate bit over the course of the quarter. We currently believe that vessel level, cash operating margins in the March quarter should again be in the area of plus or minus 46% of vessel revenue, where in fact may remain for a couple of quarter with an eventual recovery of the markets and a continued revitalization of our fleet, we continue to see potential upside in operating margins and earnings. Turning now to the balance sheet, available liquidity and capital commencements. Cash flow from operations for the nine months ended 12/31 was a bit less than 300 million versus 366 million in the same period of fiscal 2009 reflecting in part approximate 50 million dollar reduction in networking capital quarter over quarter. Total debt at December 31 was $300 million and cash at 12/31 was about $337 million. So net debt remains at approximately zero. Total liquidity of 12/31 including undrawn revolving credit capacity exceeds $750 million. To wrap it up, I'll summarize our near and intermediate term cash needs and note that we continue to believe that our fleet renewal program at least as it is currently constituted will be funded with future operating cash flow and currently available liquidity. At 12/31, construction and progress includes 33 vessels with an aggregate capital cost of about $789 million, approximately $301 million of which has been expended as of December 31. Remaining payments on committed construction as of 12/31 therefore are about $488 million of which $144 of these payments are expected to be made in the remainder of fiscal 2010. And 191 million of these payments are expected to be made in fiscal 2011. The balance of the payments on construction and progress will be made in fiscal 2012 and beyond. Not included in the construction and progress totals is the $42.5 million cost and approximately $39 in remaining payments due on three, anchor handling towing supply, the Tidewater has committed to acquire at December 31. As noted earlier, we closed on two of these purchases subsequent to the close of the quarter and we should close on the third vessel very shortly. Current maturities, the long-term debt are only 120 – excuse me -- are only $25 million. Finally, as previously noted, our board has approved a $200 million share buyback authorization which runs through this summer. We did not repurchase shares during the December quarter and our buyback program has been enact since the first quarter of fiscal 2009. With that, I'll turn it back over to Dean.
Dean Taylor: Thanks, Quinn. Through most of last year, Tidewater’s regrowing the benefits that came from the momentum of the recent peak of the offshore industry cycle. We highlighted however on our latest earnings call that the sector's momentum was slow putting pressure on our fleet utilization and day rates. These factors were the driving force in the $20 million quarter-to-quarter reduction in our revenue that Quinn has just reported for the December quarter. Utilization day rates and therefore revenue are dictated by customer demand. On the other hand, we control our vessel operating costs and G&A expense, both of which met or beat our prior guidance as Quinn has reported. We also control the adjustments we make on our company's capital both physical and human. We continue to be disciplined in both such that when the cycle turns, our investor should realize the momentum from a coil spring of earnings engendered by a sound investment in each. In contrast to the land service sector, which is showing increasing rate counts and firmer pricing, we seem to still be in the bottoming phase of the offshore cycle. While we don't see any immediate change to the top industry conditions being experienced now, we know improvement will come. We hear about green chutes from various offshore participants. Nevertheless, at least in my view, it will likely be no earlier than next calendar year before this optimistic tone is reflected and significantly improved offshore sector fundamental. We've been through this cycles many times before. We know to expect better days ahead. We just don't know exactly how many days ahead it will be. When they do arrive though, as stated earlier, our earnings momentum capability should be significant because of the investments we have made and will continue to make in our business. Besides our significant focus on safety, there are two other objectives with management while we await better times. First, we need to focus on executing every day. That means controlling our costs, making sure we have the right vessels available to meet our customers' needs and getting our new vessels delivered and put to work as quickly as possible. Second, we need to continue to scale the markets for attractive vessel and company opportunities we feel are likely to emerge in the current industry environment. While it would be nice to tell you this recovery will be a sharp one, the history of the business suggests improvements are usually more gradual. Some could call the present environment boring, we find it one repeat with opportunities to put our well constructed capital structure to work intelligently. We know that with our global footprint, financial strength and experience management team were positioned to capitalize on the opportunities that should appear. And in time, should allow us to provide greater earnings momentum as the cycle turns. We're now ready to take your questions. Terry?
Operator: At this time, if you would like to ask a question, please press star then the number one on your telephone key pad. We'll pause for just a moment to compile the Q & A roster. We have a question from the line of Jim Crandell with Barclays Capital.
Dean Taylor: Hi. Jim.
Jim Crandell – Barclays Capital: Good morning, Dean. I'm sure you had mixed emotions about the NSC championship game.
Dean Taylor: I didn’t
Jim Crandell – Barclays Capital: My best to Brett. Fist question, Dean, as business conditions so often are the opportunities to buy vessels getting better and better. Are you reaching the point where you can't realistically expect prices to go lower or as patience still the best strategy here?
Dean Taylor: I think patience is still the best strategy, Jim. Actually pricing inventory much often on existing vessels much in the last quarter it have fallen off significantly in quarters prior. It seems to have slowed down. But I think patience is the order of the day. Just because he's ready to buy doesn't mean somebody's ready to sell and things have to fall in line for all this stuff to happen. I think that we've said before that this is exactly the type of scenario in which we planned and waited. We were accused of sitting on a lazy balance sheet for some period of time and we knew that the cycle business we're in is a cyclical business. We knew they would be coming at times. We didn't know when the cycle returned. It did turn and certainly had no idea that to return in the fashion that it turned but it came and we've had nice opportunities that we've acted on and I expect we wanted continued to have some other have others ones.
Jim Crandell – Barclays Capital: How would you characterize the opportunities today, Dean versus three months ago? Are they similar or their increased opportunities then how would you characterize them?
Dean Taylor: I'd say similar, Jim. As I said, I don't know whether it was the Christmas season or what but things just slowed down in terms of the numbers of units that we saw being offered to us. Steve got a string on a number of opportunities right now. If we get to the right pricing, we'll pull it. I haven't seen, there's not been a significant pickup in opportunities that have appeared before us right now over the last quarter.
Jim Crandell – Barclays Capital: Okay. Dean, if the given none significant acquisition, how would you expect the company's investment in new builds to trend over the next couple of years.
Dean Taylor: That's a good question. I would expect the investment in new builds probably, we are going to do our best not to buy, not to add to the order book. We are going to do our best to buy existing equipment. There will be occasions when perhaps in Brazil, perhaps in the Middle East for customer requirement where's we will add to the order book. We are going to do our best not to add to the order book. We think there are enough people who have overextended ourselves. We probably won't have to add to the order book now. It depends on the shape of the recovery. If this recovery turns around faster than we think it is then it will. Then we may miss some opportunities. But I don't think the recovery's is going to be as quick as some people might think. And as I said earlier, I think that probably we're not going to see much happen for the remainder of this calendar year. I think we'll have some opportunities to add to our order book without adding to the worldwide order book.
Jim Crandell – Barclays Capital: What would your, so actually Dean, if as things evolve as you think over the course of calendar 2010 how much more downside is there in supply vessel day rates both conventional and in Deepwater from here?
Dean Taylor: Deepwater doesn't look like it's going to fall off that much. Conventional, as I think I said at your conference and I've said at some other conferences it's really going and the key would be the jack up market and what happens with the jack up. If the jack up, if we see jack up being pull out of stack and going back to work in addition to the jack ups that are presently on order coming into the worldwide fleet that would be the very good sign. If we see the jack ups that are presently on order coming into the worldwide fleet either not going to work or displacing units presently working or putting more older jack ups into stack status then I think we'll see we'll continue to see pressure on the traditional neat rates.
Jim Crandell – Barclays Capital: And Dean was the drop in international supply vessel utilization quarter, was that primarily West Africa or more spread out geographically?
Dean Taylor: it was (inaudible).
Jim Crandell – Barclays Capital: Okay. Good. That's it for me. Thank you.
Dean Taylor: Thank you, Jim.
Operator: Your next question comes from the line of Chris Blacy [ph] with Simmons & Company.
Chris Blacy – Simmons and Company: Hi. Bruce. Thanks good morning.
Bruce Lundstrom: Good morning to you.
Chris Blacy – Simmons & Company: Talking about the stack vessels, at this point, what's your general sense as to how industry vessel retirements have behaved relative to expectations through today? And what we have to do to further to offset the new build deliveries that we do think will actually be delivered.
Bruce Lundstrom: I've said in other forums, Chris and I think there are two extremes. One is that all the new builds come into the fleet and no older boats come out. That would probably be engendered by all of the new jack ups coming into the worldwide jack up fleet and they push no over jack ups started off the market. The other is all the new jack ups come into the worldwide fleet. They push out an equal number of older jack ups out of the worldwide fleet. Thus everything in the worldwide vessel fleet is incremental to his excess to his vessel demand and in that case (inaudible) it comes in At least one vessel, one older vessel would be shoved out. I think to date the scenario has played out pretty much as we felt like it would. We certainly didn't expect the economic crisis to unfold as it did. I think there is a good case that can be made that there is a fair amount of demand that is stressed because of the economic conditions that economic conditions get better that the demand will be restored to near to near formal levels but that's really a question that's going to be determined by factors larger than just the industry and that's going to be the economy that will dictate how all that plays out. So I just think that the key will be to watch what happens to the new jack ups when they come in and what happens to the old jack ups whether they stay working or whether they're stacked.
Chris Blacy – Simmons & Company: Okay. Is there a structural risk to Deepwater day rates as some of these new builds get delivered? I would assume some are taking the place of those older vessels pushed out of the market. Is there a risk to a structural reduction in new build rates?
Bruce Lundstrom: I think, you know, one area of Deepwater that I think can be very split, could see softness could be Deepwater anchor handlers I thanked that (inaudible) sector of the market will be over supplied and I think that Deepwater anchor handlers will see significant pressure on their rates. Flat form supply vessels I don't think will put pressure in equal measure in any kind of equal measure. I think mat form supplies rates that should shift down to hold up better. I think that the order book is for Deepwater anchor handlers is full and I think that the Briggs that they would service are all going to be deep rigs. There's no need except in some situations. There's not nearly the need that's going to be engendered by the new rigs coming into the fleet that will take up, I think, the number of Deepwater anchor handlers being constructed. Does that answer your question?
Chris Blacy – Simmons & Company: Yeah. And just one last one, where we stand today, What percentage of your vessel days for calendar 2010 are under contract?
Bruce Lundstrom: Jeff Platt is here. I'll let Jeff answer that question, please.
Jeff Platt: For the entire fleet, we are standing at above 47% contract cover looking at a year. And for the new fleet, it's higher about 62%. Then for the conventional vessels it's around 34%.
Chris Blacy – Simmons & Company: That’s really helpful. Thank you very much.
Operator: Your next question comes from the line of Judd Bailey with Jefferies & Company.
Jeff Platt: Hi. Judd.
Judd Bailey – Jefferies & Company: Good morning. Dean, could I get to you give a little more color may be on the day rate environment and you can comment reasonably if you like but are you seeing just outside of the gulf and outside of the north sea, just kind of a gradual decline or specific bias class or are you seeing some markets that may be a little weaker than others.
Dean Taylor: I would prefer not to walk around the world and give it by region but in general, we continue to see softness. We haven't seen a bottom yet. I don't necessity what it's going to take to provoke a bottom but we haven’t seen one yet. It's been gradual. It's not been precipitous. Although it depends, some markets you could see temporary declines in day rates but in general, it's been gradual.
Judd Bailey – Jefferies & Company: Okay. And then you mentioned in your prepared comments you don't see fundamentals improving until the next calendar year. When you make that kind of statement are you assuming some sort of, what kind of rate count increase do you have a Deepwater rig count perspective?
Dean Taylor: No. I really don't. I think the key will be to see what happens as the new rigs come into the market and see what in particular what happens to the older rigs. There are a number of rigs slated to come into the marketplace this calendar year. As those rigs come in, they will either engender new demand or push other rigs out of the marketplace and will depend upon what happens with those rigs. Sorry for the background noise.
Judd Bailey – Jefferies & Company: No worries.
Dean Taylor: At any rate, I think, we sort of feel like every rig, every incremental rig to market creates demand rig demand for about three and a half to four vessels every time a rig goes to the market. If there's no net additions of rigs to the worldwide market, for every rig that comes in to the market but if the, there’s no net addition of rigs to the worldwide market for every way becomes one goes out, then there's no net vessel demand. So then some of the older vessels will be shoved [ph] out by the newer vessels coming into the market.
Judd Bailey – Jefferies & Company: Okay. My last question and I'll ask you about your fleet. Your utilization, I was trying to get my arms around when you look at all of the vessels that have gone idle the past year to 18 months, do you have any sense industry-wide anyway, how many of the idols or vessels that have gone idle are new generation equipment I would presume its dominantly the older stuff but there are lot of new generation vessels that are idle we may now know about that we would have assume we are going to come back out and may be compete pretty aggressively on price?
Dean Taylor: Well, there's a fair number of newer vessels that are idle in South East Asia.
Judd Bailey – Jefferies & Company: Okay.
Dean Taylor: Short of that is not and the North Sea and North America. So you have those three areas that have a fair amount of idle new equipment. Every place else, the new equipment is working. Does that answer your question?
Judd Bailey – Jefferies & Company: Yeah. No, that's exactly what I was looking for. So as new vessels come into the markets, new builds it's probably fair to assume the older one are going to stay idle for a probably of pretty long period of time and the incremental demand will be met by the new vessels there is not a lot of room for one that are currently idle to probably be reactivated in some of those over supplied markets.
Dean Taylor: Judd. I would agree with that. That plus you were seeing more and more restrictions around the world on the older (inaudible).
Judd Bailey – Jefferies & Company: Okay. Great. I appreciate insight.
Dean Taylor: Good. Judd. Good talking to you.
Operator: Your next question comes from the line of Richard Sanchez with ODS-Petrodata.
Dean Taylor: Hello. Richard.
Richard Sanchez – ODS-Petrodata: Hi. This is Richard Sanchez ODS-Petrodata. I thought those was a little odd. My question is regarding Brazil. I was interested in how Tidewater has fared in Brazil and what your future plans are for Brazil.
Dean Taylor: Well. In spite of the fact I was our manager down there few, a number of years ago, we’ve actually fared pretty well and we expect to continue to, I think we're the largest provider of services in Brazil by a factor of two in recent our industry. And we intend to do our best to maintain and grow their market share.
Richard Sanchez – ODS-Petrodata: Do you have any plans to build any vessels notably in Brazil. I understand a lot their shipyards exam there have been fairly booked up?
Dean Taylor: We are building vessels in Brazil. We will probably build more vessels in Brazil will depend upon the price and the requirements for that we see for the particular types of vessels in Brazil, but I would expect us to be relatively active in that market.
Richard Sanchez – ODS-Petrodata: And then my other question was regarding the Gulf of Mexico, when you are talking about Deepwater vessels I think you suggested in your financials that you guys got six Deepwater vessels there. You say Deepwater, do you mean vessels with DP1 or is it strictly DP2 or size contingent there?
Dean Taylor: Well, we define Deepwater differently would have been -- than any of our competitors, our Deepwater vessels are bigger than a lot of our competitors would define them. But I think we defined them 3000 dead weight tons and above 243 and above our platform supply vessel and for anchor in those 10000 break horse power and above.
Richard Sanchez – ODS-Petrodata: Also then in Mexico, over this last year, I think we're expect to a little bit more activity there and then it kind of downgraded the number of jack-ups they are going to using. How is that dramatically effected a Tidewater in Mexico?
Joe Bennett: It hasn't helped it. We -- they're getting ready to go into the third year over six year term and typically it’s a first year that is slow in Mexico and I think that the just the entire situation in Mexico is going to mandate that they reinitiate some of that activity, I don't know where they are trying to big people up on prices is why they're slowing down or whether they're trying to get the hydrocarbons law change to enable more joint venture to some in the international oil companies are just what, but PEMEX is about 33% of the gross domestic product of Mexico to the extent that they're not busy, the entire economy suffers. They also need the export revenue from the product that they produce. So I think, PEMEX is going to become busier and what it does we should participate in that uptake in activity.
Richard Sanchez – ODS-Petrodata: And then a just one last question. Could you say how many vessel days, say a PSV generally averages within a year?
Joe Bennett: What are you talking about, how many days they would average in terms of being on hire?
Richard Sanchez – ODS-Petrodata: No. I mean as in availability to work.
Dean Taylor: Well, if average over on any asset class because the vessel dry-docking in mandate by classification societies about 91, 92%, good as you're going to do because of various classification surveys that are required.
Richard Sanchez – ODS-Petrodata: All right. Thank you so much for answering my questions.
Dean Taylor: Okay, Rich. Thank you very much.
Operator: Your next question comes from the line of Terese Fabian with Sidoti.
Terese Fabian – Sidoti: Thank you. I have a question for Quinn. I think could repeat the purchase price three vessels that you acquiring and how much I think you said two paid or two have been finished?
Quinn Fanning: As of -- the total purchase price for the three vessels, so it's $42.5 million. And as of December 31, I believe $3.4 million have been expended. So the remaining payments due at closing would have been that the balance of $39.1 million.
Terese Fabian – Sidoti: Okay.
Quinn Fanning: I have mentioned we closed on two of the three vessels then the balance sheet close next week.
Terese Fabian – Sidoti: Can you talk a little bit about why these vessels were attractive? Did they feel a particular need or was it is the pricing of them? And is there something you'll be looking at in the future?
Quinn Fanning: We can probably go through spent with (inaudible).
Dean Taylor: The two of them were 7000 horsepower anchor handling towing supply vessels. The vessels were four years old we have -- free already that we purchased four years ago. The same exact vessels, so there was some ability to have the same types of equipment and that's 7000 horsepower are a pretty nice fit for our portfolio. And the other one was a -- it is also anchor handling towing supply but 5000 horsepower and that was a very good price availability was prompt. The vessel is four years old, that was an opportunity with these are people that went into the business four years ago and their appetite for it is waning a little bit. But this was a good piece of equipment that feed us very well.
Terese Fabian – Sidoti: I expect that there would be a more of this type of purchase as Dean was saying from the market rather than adding to the order book. Is that one way you would work with your fleet and would you also then accelerate your retirement of vessels so stacking the vessel?
Dean Taylor: Well, as far as opportunities I think they're going continue to occur with existing equipment. And the stacking as we either get to a major expenditure to renew the classification then the vessel would come out of service or if there is market condition are such that they really doesn't pay to keep it crewed up and operating if you're not going to have the utilization. So that where determine what's going to start?
Terese Fabian – Sidoti: Okay. Thank you. I have a one future looking question I know that's hard to answer, but is been a lot of talk about oil and hydrocarbons under the (inaudible). Is this an area that you are evaluating and how long I have start do you need before going in that direction?
Dean Taylor: We wouldn't want to be speculatively for that market would certainly that we participated in various tenders for market we do think it is a growth area for the industry in general. It's hard to think of a bunch occasions and (inaudible) from Mississippi have to audit but we flow intend to be there, if we can get the pricing right for the units, the thing the important thing to recognize is that that equipment is a very expensive. The delta that you pay a build that equipment for that, for those environment, if you had to use the equipment elsewhere in the world, you would never recover that investment. So you really want to rebuilding equipment for a contract that we will pay out the equipment over the life of the contract, we see that the opportunities are such that the equipment would be paid out in the area for which it's built because otherwise you have very high that equipment working in area of the world to don’t require this specifications and you never get a decent recent on your investment.
Terese Fabian – Sidoti: How much appropriate equipment is on the market now? And what would be a lead time for building?
Quinn Fanning: Lead time for building would be a couple of years. There is not much on the equipment now because there is not much of the market for equipment now. But as the is that market develops and shell had a very rough time getting their projects and Alaska sanctioned. And there's not much going on in Russia cycling right now and that’s very specialized equipment. But eventually, there is hunger for energy will drive activity toward that part of the world. We will responding guide and through the demand and hopefully will be there at rates over just far vessel.
Terese Fabian – Sidoti: Thank you.
Dean Taylor: Thank you.
Operator: Your next question comes from Pierre Conner with Capital One South.
Pierre Conner – Capital One Southcoast: Good morning, gentlemen. I know you didn't within the to go around the world by region, Dean, but I wanted to ask you about some activity trends maybe your that is, Jeff wanted jump in. As some follow-up Richard there is accurate for the [SMS] spot rates in West Africa, Southeast Asia, December was a little weaker, and I mean what I was asking about is, is there some seasonality to that or their do you see some activity come in on the construction side or is that sort of the trends again it’s spot to type data?
Dean Taylor: Pierre, I think in Southeast Asia, some of the cyclone in cyclicality that’s playing there, but in the West Coast, there's not really business cycle per se other than just kind of the underlying fundamentals. You do have some bleed down from North Sea equipment into West Africa, as people look for other opportunity, I think. And then if you look at it on the West Africa some of the brokers put out their reports. There is a few vessels that are more than a few vessels that are looking for work. I just say, we typical don't shop in spot market in some of those areas and like that such really it, but the cyclicality I think cycling stuff in Southeast Asia that does definitely there.
Pierre Conner – Capital One Southcoast: Okay. No, no. That's helpful.
Dean Taylor: I know you Pierre, they should become busier this summer as weather improves in the North Sea. But those are really the only cyclical low. What’s going to happen is to go from Mexico will become a cyclical market. We're going to see, I think we'll see the with the drilling rate companies being unable to obtain insurance at rates that are anywhere near attractive. I think we'll see that the operators will slowdown their activities at hurricane season and then ramp backup as we’ve seen this year where activity around backup starting in November. But I think we'll see a slowdown come July, probably July, August, September. And I think you’ll go for Mexico will become cyclical market.
Pierre Conner – Capital One Southcoast: Okay. All right. On that cost side as you indicated, you did a good job on R&M costs in the quarter and Quinn indicated it would be similarly in line in the fourth quarter. If I can get to the stretch out little bit, this is just some timing of what you might have in dry-dock and we could return to high levels or because the transition to the newer fleet, we’ve -- you are able to hold that R&M as a percent?
Dean Taylor: I think that's a couple of different factors the plan to it. Number one, in many cases we have been stacking as opposed to continuing to invest in the older equipment. As you know, every vessel has a regulatory dry-dock that is required to keep its papers current twice every five years. So -- and we wish others had the discipline to evaluate that 1 or 2 or $3 million investment you need to make in a vessel relative to the market opportunities you have to earn it back. So the decision we’ve reached frequently evidence by our numbers have to little to under stack has been that the economics don't make sense to continue to invest the older equipment. So that's one factor that has brought earned income expense down over last couple of quarters. The volatility that we've had, not so much in the backend of the calendar 2008, but last couple of quarter when you have little bit bleed has been what we've had typically newer vessels that going in first special survey. Now we have really good visibility on that and the past we have try to give guidance the reflects any apparent increases (inaudible) resulting from large vessels going to dry-dock and towards backend of calendar 2008 will have some of the larger ships going to dry-dock and we will provide that visibility simply we can.
Pierre Conner – Capital One Southcoast: In calendar’10.
Dean Taylor: I apologize.
Pierre Conner – Capital One Southcoast: Yeah. That's helpful. Okay. Great. And can I one there is last Quinn you just bridges from somewhere Europe perspective on margins that you gave us last quarter to now and as I recall you again it indicated what you thought the March being sort of (inaudible) for them. Are you changing a little bit to tell us you see them sort of bouncing around at these levels for the next several quarters that as opposed to prior indicating, we begin to see some recovery margins?
Quinn Fanning: First of all may not be any better than anybody else is but as we talked about October, up to that point we have some sense that with the reduce dynamics things and other things were playing into our numbers we saw some chance to get up to average cash operating margin that would a probably 50% for our fiscal 2010, in October I think we called in the question whether or not that where have and give them these new term look that we have, I think where we sit here today, again recognizing the crystal ball is a bit foggy. Our sense is that we'll be next couple of quarters, we are going to plan and region we (inaudible) recently, 46 plus or minus percent cash operating margins. And then the uplift will be driven by improving market conditions and continued delivery of the newer vessels, which have a pretty decent track record in terms of earning higher than average market.
Pierre Conner – Capital One Southcoast: Got it. Okay.
Quinn Fanning: They are pretty soon we're going to be able to declare victory on this old fleet issue.
Pierre Conner – Capital One Southcoast: Right.
Quinn Fanning: We've been fighting that moniker for a while. Quinn, pointed out that 81% of our cash operating margin this quarter was provided by the new vessels and we get do 90% cash operating margin being provide by new vessels, we're going to play like we don't have any more old vessels. We're going to declare victory; we are going to quit talking about all the new project. We've just going to talk about the new Tidewater. When you considered that we have done this without incurring any debt, no net debt. It's being an amazing transformation and I think we've been struggling with the mantra of having a ''quote unquote'' old fleet for a while. And very soon, nobody's going to be able to pin that tail on this donkey because we're just about shut out of that old fleet.
Pierre Conner – Capital One Southcoast: Thanks, my last one, it might be for Steve and it's kind of a knit I know, but there is some volatility in that other revenue line associated with deliveries out of quality and it's generally offsetting but would you expect would be looking at your work in progress type numbers that would be similar for the subsequent couple quarters?
Dean Taylor: Well, the robust tide which is the one that's allocated, quality now should be delivered.
Pierre Conner – Capital One Southcoast: Only outside work, Steve.
Dean Taylor: Oh, outside work.
Pierre Conner – Capital One Southcoast: Outside work. Yes, thank you, the other marine risk.
Dean Taylor: We've got some work going on with mostly repairs. We do not have any new construction underway for others at this point but there is some repair work for outside kind of canal boats, inland vessels, barges and tugs. We've got some work on the books but it's not very heavy right now.
Pierre Conner – Capital One Southcoast: Down sequentially, is that what I'm hearing?
Dean Taylor: Yes.
Pierre Conner – Capital One Southcoast: Okay. Okay. Okay. Well, thanks very much, gentlemen.
Dean Taylor: Thanks it was good talking to you.
Pierre Conner – Capital One Southcoast: Same here.
Operator: Your next question comes from the line of Jeff Winslow [ph] with Future Capital.
Jeff Winslow – Future Capital: Hey, good morning guys.
Dean Taylor: Hi. Good morning.
Jeff Winslow – Future Capital: Question about the deepwater market, for term contracts that are rolling over today, can you give us some directional color about the climate for day rates for those vessels that are rolling over?
Dean Taylor: Well, this is Jeff. And I would just say obviously, as the terms contracts are rolling over, it depends when they were put in place out there. We have some longer term contracts that bridged unfortunately through the entire up-cycle. That's cut more than minority on those contracts but in general, I think your question, the answer is certainly the day rates are going down and quite honestly, I just prefer not to go ahead and put any real numbers associated with that. But we're definitely seeing pressure across all of the vessel classes deepwater is holding up better than some of the conventional fleet but it is still downward pressure?
Jeff Winslow – Future Capital: Okay. And in very general term, I guess PEMEX notwithstanding, could give us some flavor in terms of how your customer base is behaving, has there been any discrepancies between the super measures, the NLC's and kind of the smaller guys that you do business with right now in terms of the appetite for either term options and I guess the pushback, you get on day rates?
Dean Taylor: We think one of the green chutes that we're seeing is that we are more customers trying to tie our hands for longer periods of time at these low rates. So we think that's a positive. Not only they're trying to tie up equipment for longer terms but they are also trying to tie it up with options in their favor for many years thereafter, which we are resisting that. We would say that's a green chute because typically that's indicative, a reflect of their perception that the market is, that their needs are going to increase and what they try to do is, lock up as much equipment as they can at little rates. We are seeing that probably more on the side of the IOC's and the NOC's. The NOC's are far behind. They are down depending, it depends on the NOC but some NOC's just look they have pretty good visibility in terms of what their activity is going to be. So, what they will try to is tie up the vessels to go inside with the activity that they perceive. Did that answer your question?
Jeff Winslow – Future Capital: Yes, yes, that's helpful. I appreciate it. That's all I had, thanks.
Dean Taylor: One another comment I will just give your context, very significant percentage of our revenue sort of trailing, 12 month basis, since the super measures national companies with the largest of independence. It will certainly do some business with some of the smaller independence. They have got Mexico construction companies around the world and like but a significant percentage of our revenue was coming from the larger players within the industry, over 60%.
Jeff Winslow – Future Capital: Got it.
Dean Taylor: Our top ten customers over 60% of our revenue. And I think that they are at six. I forget I don't have the slide in front of me but we have one large independent and the rest were all IOC's and NOC's.
Jeff Winslow – Future Capital: Thank you, guys. Appreciate it.
Operator: Your next question comes from the line of Daniel Burk with Johnson Rice. Mr. Burk, your line is open.
Sean Milligan – Johnson Rice: Good morning, guys. This is Sean Milligan filling in for Daniel.
Dean Taylor: Hey, Shawn.
Sean Milligan – Johnson Rice: We had a question on the enabler if you could give a little more detail on the informant prospects, this quarter since it delivers?
Dean Taylor: Well, the vessel's just been delivered, Sean.
Sean Milligan – Johnson Rice: Okay.
Dean Taylor: We're currently negotiating a couple opportunities for it. We're pretty close to one that's going to work out nicely for us, but we expect really for the quarter that we're in we will probably spot in the North Sea and then sag way right into a term contract.
Sean Milligan – Johnson Rice: Okay. And any detail about, what type of work you will be doing?
Dean Taylor: Well, obviously the boat has similar unique characteristics. So it's going to be suitable work for that vessel. I really, again, don't lake to give a whole lot of color on specific contracts. The enabler is a great piece of equipment. We've got some interesting short-term opportunities and then longer term; she's going to be great piece of equipment to fit into our portfolio. But obviously she's going to be shopping for work that makes sense for that vessel.
Sean Milligan – Johnson Rice: Okay, guys. That's all I had. Thank you.
Dean Taylor: Thank you.
Operator: Your next question comes from Jim Crandell with Barclays Capital.
Dean Taylor: Hey, Jim.
Jim Crandell – Barclays Capital: Thank you. I had a follow-up. How much in rates on a percentage basis do you feel that older vessels have declined on average internationally from the peak?
Dean Taylor: From the peak? It depends on the market but certainly..
Jim Crandell – Barclays Capital: The overall, if you were to take a geographic average because I know you probably wouldn't want to comment on specific geographies but overall internationally, how much would you say that older vessels have declined from the peak.
Dean Taylor: 40 to 50%.
Jim Crandell – Barclays Capital: And how much would you say excluding deepwater that newer vessel rates have declined from the peak?
Dean Taylor: 20 to 25%, maybe Jim. We can work those numbers up for you but you said guess, that's what I'm going to guess.
Jim Crandell – Barclays Capital: Okay. And I think I know Dean, I've heard you make the comment in the past that newer vessels can go to work immediately. It's just a question of price. Would you reiterate that today that it's not difficult to put your newer vessels to work in our back-out in all the vessels, it's just a question of price you would put that equipment to work?
Dean Taylor: Well, I don't think I made the comment regarding our fleet but I think I made the comment regarding in newer vessels in general. And I'll stick by that comment. New vessels will work. The question is at what rate? It depends upon how low they want to go to put the vessel to work and whether they want to try to displace an older piece of equipment at an older piece of equipment's rate. I would say the industry is probably more disciplined than it's ever been in terms of trying to maintain rates for the newer pieces of equipment at rates that levels, justifies the investment that has been made. But still, when people get desperate and depending upon the length of this downturn, it will be the desperation quotient that will see people put those to work. Again it depends upon how long the downturn lasts, we're already seeing it in the North Sea where people putting their boats to work with cash operating costs or less on a spot basis in the North Sea. So again, I think everything will depend upon the length of the downturn.
Jim Crandell – Barclays Capital: Dean, do you see older vessels for other companies? Do you think that because we've seen this 40 to 45% decline, are you seeing acceleration in retirements of older vessels by other companies in the marketplace?
Dean Taylor: Jim, one of the questions that you've heard it before. Many of the very clever portfolio managers will say, we know these old boats can work forever, how are you going get rid of them? It won't be up to us. It won't be up to the operators. The customers will determine how long the old boats will work. And we're seeing more and more around the world, more and more requirements for vessels 20 years old and newer 15 years old and newer, 10 years old and newer. So, it won't be the vessel operator who determines how long a vessel will stay in service. It's going to be the customer. Manly, this is for safety reasons I think and also it's for market reasons. In mind the customer senses that the market is in his favor. And so his tendency is to just increase his specifications for the vessels thinking that he was going to be able to get a good piece of equipment at a relatively attractive rate. And as I said earlier, he's going to try to tie it up for a long period of time.
Jim Crandell – Barclays Capital: Okay. That's great.
Dean Taylor: Did that answer your question, Jim?
Jim Crandell – Barclays Capital: It did. Thank you very much.
Dean Taylor: Okay. Thank you Jim.
Operator: And we have no further questions at this time. Do you have any closing remarks?
Dean Taylor: I just want to thank everyone for their attention today and their interest in our company and also I'd lake to say go saints. Thank you very much.
Operator: This does conclude today's call. You may now disconnect.